Operator:
Kristian Pullola:
Olli-Pekka Kallasvuo: Thank you, Kristian. Good morning and good afternoon. I said on the last earnings call that Q4 would be the best quarter of the year in terms of devices and services net sales, volumes, and margins. It was that and more. Q4 showed Nokia’s ability to ramp up new, more compelling offerings even in a tough competitive environment. NSN also delivered a strong quarter. I am very encouraged with the focus and execution that I see throughout the organization, both at Nokia and NSN. Before I provide some color on Q4, there’s one strategic item I’d like to talk about, our free navigation announcement last week. I want to emphasize what we offer is unique and game-changing. There are clear benefits for consumers, operators, and developers. This message is resonating with them and the feedback has been very positive. We are now providing free walk and drive navigation as an integral part of our smart phone offering. There are three things I think really are groundbreaking, one, how the solution advances the user experience; two, how the solution is beneficial for the operators; and, three, how the solution advances Nokia’s business strategy. First, with our new Ovi Maps client, we have dramatically improved the user experience. It’s much more intuitive and quick and we have upgraded the location search engine. Over time, we think Ovi Maps will enhance the daily lives of our consumers more and more as usage patterns increase and navigation evolves from being a stand-alone application to a platform that multiple services are blocked into. Using maps in mobile handsets will become as commonplace as taking pictures, and even more central and critical to the user experience. Second, for operators, how the solution is differentiated. In addition to driving the uptake of data plans, our Ovi Maps application is built on a unique hybrid technology that is optimized for use on a mobile network. The bottom line is that our approach uses a fraction of bandwidth compared to most online map providers. It is a fundamentally different approach that is much more operator friendly and consumer friendly as well. And third, from a strategic perspective, it is important at this phase to increase using engagement for our location-based services. High engagement and high use will be the foundation for contextual advertising over the long term. And of course, this will also attract developers. We are leveraging our unique assets to create new competitive advantages. More importantly in the near term, this will enhance the competitiveness of our smart phone portfolio. It is a way for us to drive higher credential rates, support ASPs, and capture value share. We think this solution can really take off in 2010. Now on to a review of the quarter. In Q4, the demand environment for mobile handsets ended up being better than we anticipated and we took advantage of this upside. For the first time in 2009, industry volumes were up on year-on-year basis. We continue to see signs of recovery in the market. However, the sustainability of consumer demand remains uncertain. Even though the competitive environment was stuck in Q4, Nokia delivered solid results, with unit shipments up 17% sequentially, compared to an estimated 14% for the market. This was driven by our improved product portfolio and strong collaboration between our supply chain and sales teams. These teams are world class and they delivered an outstanding performance in Q4. From a component availability point of view, we went through some constraints early in the quarter as I think it was discussed in the previous conference call. However, we exited Q4 with no exceptional constraints relative to our near term and demand forecasts. According to our estimates, our device market sale was 39% in Q4, up 1% compared to Q3. Our converged [ph] mobile devices volumes increased 26% sequentially. This drove our estimated converged mobile device market share back up to 40% in Q4, compared to 35% in Q3. Moving to device and services highlights. Here I’ll discuss converged, mobile devices, and mobile phones separately. First on converged mobile devices, this market can be difficult to estimate and our quarterly market share estimates have been volatile. Nevertheless, it is clear that we gained share in Q4. We continue to build on the team that we established in Q3, growing rapidly in the converged mobile devices by offering a solid range of touch screen devices across a variety of price bonds. In Q4, our top five smart phones, based on both net sales and gross profit, included four touch screens, the Nokia 5800, N97, N97 Mini, and 5530. Our touch screen portfolio generated very impressive growth as we expanded our portfolio to seven global touch screens in Q4, compared to only three in Q3. We shipped nearly 10 million touch screens in Q4, up more than 60%, compared to approximately 6 million in Q3. On a sequential basis, our touch screen net sales grew by approximately one-third, and gross profits grew approximately 30%. We are driving higher volumes by expanding the market for touch screen smart phones. And we are driving healthy gross margins by leveraging Nokia’s scale in distribution as well as the post-effectiveness of the Symbian platform. In Q4, we shipped 6.1 million E-Series devices up 38% sequentially, compared to 4.4 million in Q3. The strong results were led by the continued success of our key QWERTY products, the Nokia E-71, the E-63 and our new E-72, which is off to a good start. Some of you have recently expressed concern over our E-Series competitiveness, thinking that the momentum is decidedly against us especially in Europe. That was simply not the case in Q4. Our E-Series net sales grew 41% on a sequential basis in Europe, a very strong performance. Moving on to mobile phones, the main success story continues to be the Nokia 5130, our most affordable Xpress Music phone. Interestingly, the ASPs for our top five mobiles phones range from under EUR 15 to over EUR 150. This really illustrates the importance of having a solid and balanced range of products that meet the requirements of different people in different markets across the globe. In services, we saw considerable progress in Q4. I have already highlighted maps. In music, I was pleased to see Comes With Music accelerate softly in Q4. We sold three times more Comes With Music phones in Q4 than in Q3. The Nokia Music Store is now available in 22 countries, and Comes With Music is now live in 15 countries. We are continuing to expand into more countries. And with every new launch, we learn new ways to improve our execution. Two advantages are beginning to standout. We have a superior catalogue of local content and we ramped up more quickly than our competitors in geographies where the digital music market is still in ascent. In messaging, we now have signed agreements with 69 operators for Nokia Messaging, our post-email service. Also in Q4, Ovi Mail, our free email service, reached the 5 million accounts milestone. The traction we gained in Q4 was awesome. We doubled the number of operators that are partnering with us to offer Nokia Messaging, and we more than doubled the number of Ovi Mail accounts. In media and games, the Ovi store continued on a steep growth trend and we have now exceeded 1 million downloads a day. We ended Q4 with 18 stores that are localized to content and language, and 60 operators that support integrated billing for Ovi store downloads. Both metrics are up more than 100% since we launched eight months ago. In Q4, we also launched Nokia Life Tools in Indonesia, and we introduced four affordable mobile devices that support Life Tools. Being in Indonesia and India, the Life Tools means we can address consumers in two out of the four most populous countries in the world with services that are personally relevant to them. And now on to Nokia Siemens Networks, NSN concluded a very difficult year with an encouraging performance in Q4. NSN’s sequential improvement in net sales resulted in a non-IFRS operating profit in Q4 and a small non-IFRS profit for the full year. NSN continues to have momentum in several key areas. In Q4, NSN had -- NSN added ten new 3G customers, taking their overall total to an industry-leading 170. NSN continues to sow strong progress in LTE. Since the last earnings call, NSN has won LTE contracts with Telenor Denmark and TeliaSonera. Adding these to the NSN’s growing list of global reference accounts gives NSN the highest number of LTE references in the industry. Also, NSN has now shipped LTE-capable hardware to almost all of its three customers. In Q4 the performance of NSN’s product businesses was a good reflection of improved product quality and road maps, particularly in the radio business. NSN’s professional services business continues to show growth, both sequentially and year-on-year in Q4. And cost control continued to be very solid. NSN’s strategy of driving for growth has already led to an improved deal momentum in Q4. We are encouraged by this progress and we are confident that NSN has the right strategy and the right assets to be a long term industry leader. Now I will hand it over to Timo for more of the financials.
Timo Ihamuotila: Thank you, Olli-Pekka. And good morning and good afternoon from my behalf as well. I’ll begin by providing some color on the dividend and our tax rate. The Nokia Board is recommending that shareholders approve a dividend of EUR 0.40 per share. This is the same as last year. The Board and management believe that this dividend payout strikes at a proper balance considering our liquidity position, our 2009 operative cash flow, and our expectations for 2010. At approximately EUR 1.5 billion payout in total, the dividend remains substantial and equates to approximately 60% of 2009 non-IFRS earnings Now on taxes, in Q4, Nokia’s non-IFRS taxes were negatively impacted by Nokia Siemens Network’s taxes since no tax benefits are recognized for certain deferred tax items. If Nokia’s long term estimated tax rate of 26% per 10% had been applied, non-IFRS EPS would have been EUR 0.01 higher. In the short term, the negative impact of NSN’s taxes on Nokia’s tax rate is expected to continue. We plan to highlight for you in the press release and earnings call whenever there are tax related differences so you can quickly adjust our published non-IFRS EPS results to make them apples-to-apples with your EPS estimates assuming that you are using a 26% tax rate in your models. Now let me take you through the Q4 results for devices and services. On a reported basis, devices and services net sales of EUR 8.2 billion were up 18% sequentially and up 0.5% year-on-year. A return to growth, on a constant currency basis, devices and services net sales were up 16% sequentially and up 2% year-on-year. The sequential increase was attributable to higher volumes, particularly in converged mobile devices as our expanded range of touch and QWERTY devices delivered strong growth. In Q4, we estimate that our overall market share was 39%, and our converged mobile device market share was 40%. We have prepared our market size estimates consistently using data gathered through our vast and robust network. However, we continue to improve our data gathering further, particularly in lower-value markets such as certain rural areas covered by DR5 [ph] and DR6 [ph] distributors. Channel inventories increased slightly in Q4 reflecting the demand environment. We ended Q4 with a healthy, normal range of four to six weeks. We believe these levels are sustainable given the demand environment. Industry priced competition continued to be very robust in Q4 as expected. Nokia’s device ASP in Q4 was EUR 63, up EUR 1 sequentially on a reported and constant currency basis. On a sequential basis, our device ASP benefited from favorable foreign exchange hedging and positive mix shift towards converged mobile devices. In Q4, services net sales were EUR 169 million, up 15% sequentially. Billings were EUR 226 million, up 31% sequentially. The gap between billings and net sales is widening due to two primary factors. First, we are increasing the selling services in combination with devices. And second, we are increasing the duration of some of our services offerings. Billing and cash flow collection occurs upfront, but revenue for the services portion is recognized ratably over the life of the services. Our pre-navigation solution, which Olli-Pekka discussed, is a good example and a key reason why the gap between billing and net sales could widen further in 2010. On the next earnings call and press release, we will transition from our current practice of disclosing an overall device ASP to disclosing an overall ASP that also includes services. We believe this makes sense at this stage because the value of the services that we sell in combination with our devices is becoming more sizeable. Last quarter, we began providing additional financial metrics to help you track the progress we are making in our solutions mode of operation and our products mode of operations. The converged mobile devices category corresponds to our solutions mode. Here, the value is seamlessly integrated solutions and experiences. The mobile phones category corresponds to our products mode. Here, the value is created primarily through the product itself, although services, including Ovi Mail and Nokia Life Tools, can be embedded in a modular fashion to deliver enhanced user experiences. In Q4, converged mobile devices delivered net sales of EUR 3.9 billion and an ASP of EUR 186, compared to EUR 3.1 billion and an ASP of EUR 190 in Q3. Mobile phones delivered net sales of EUR 4.3 billion and an ASP of EUR 40 in Q4, compared to EUR 3.8 billion and an ASP of EUR 41 in Q3. Devices and services gross margins in Q4 were 34.3%, up 340 basis points sequentially. In Q4, our net currency hedges had an immaterial impact on gross margins. Please recall that Q3 was negatively impacted by approximately 200 basis points. The remaining improvement of approximately 140 basis points was largely driven by a mix towards converged mobile devices in Q4. Q4 gross margin benefited by approximately 80 basis points due to a large royalty rate related inflow. Since large inflows like this happen only infrequently, I thought I would call it out for you. In Q4, devices and services non-IFRS OpEx was EUR 1.54 billion, up EUR 181 million on a sequential basis. As a percentage of net sales, OpEx declined sequentially by 90 basis points, largely due to the seasonally high net sales in Q4. Devices and services non-IFRS operating margins were 15.4% in Q4, a sequential increase of 400 basis points. Finally regarding devices and services, an update on active users. We began using active users as an operational metric in mid-2009. It is a way to ensure we stay on track as we develop and market new solutions that help us acquire, retain and deepen our relationships with consumers. In Q4, our active users grew from 61 million to 89 million, and we exceeded our second half 2009 target of 80 million. We now have better measurement tools to account for user activity and contactability, and so we are recalibrating our active user definition a little tighter. Using the new definition, our active users at the end of Q4 was 62 million, and our new target for the first half of 2010 is to reach 150 million active users. We continue to target 300 million active users by the end of 2011. Moving on to NAVTEQ. Net sales for Q4 were EUR 226 million, an increase of 37% sequentially. Net sales were up sequentially due to seasonality as well as improved conditions in the automotive industry. Non-IFRS operating margins were 24.2%, compared to 25.9% in Q3. And for Nokia Siemens Networks, net sales were EUR 3.6 billion in Q4, up 31% sequentially due to seasonality, but down 16% year-on-year due to challenging competitive factors and market conditions. Services accounted for EUR 1.7 billion of the total NSN net sales in Q4, up from EUR 1.3 billion in Q3. Non-IFRS gross margins were 30.6%, up 180 basis points sequentially due to higher net sales, favorable mix, continued improvement in services gross margins, and product cost reductions. Turning to operating expenses, Nokia Siemens Networks continue to show excellent cost discipline in Q4. Non-IFRS operating margin was 5.5% in Q4, up from negative 1.9% in Q3, driven by seasonality. Strong cost control has also significantly lowered NSN’s breakeven point. Driving profitable net sales growth remains the number one priority for NSN’s management team in 2010. NSN generated strong cash collection in Q4 and was cash positive from operations for the quarter and the full year. NSN’s contribution to Nokia’s cash flow from operations was EUR 92 million in Q4. At the end of Q4, NSN’s contribution to Nokia’s gross cash was EUR 800 million, and NSN’s contribution to Nokia’s net cash was EUR 480 million. Turning back to Nokia as a whole, Nokia’s financial income and expenses in Q4 was an expense of EUR 79 million, compared to an expense of EUR 48 million in Q3. The sequential increase was primarily due to higher interest expenses. Next, let’s look at some of Nokia’s financial position and cash flow items. In Q4, our cash flow from operations was EUR 1.5 billion. The solid performance in Q4 was attributable to three main areas where we improved, offset by unfavorable networking capital changes compared to Q3. On the positive side, we delivered improved profitability in all reportable segments. We have lower cash outflows related to taxes and we have net inflows from financial income and expenses, including positive inflows from foreign exchange hedging. And on the negative side, we saw a sequential increase in networking capital. The primary drivers were lower accounts payable and proficiency-related outpost [ph], which were partially offset by lower receivables and lower inventories. We ended Q4 with total cash and other liquid assets of EUR 8.9 billion and net cash flow of EUR 3.7 billion. Starting this quarter, we are providing quarterly net sales and non-IFRS operating margin guidance for devices and services in Nokia Siemens Networks. In Q1 we expect devices and services net sales to be between EUR 6.5 billion and EUR 7 billion. And we expect Nokia Siemens Networks net sales to be between EUR 2.6 billion and EUR 2.9 billion. In both cases, we expect seasonality to be the principal driver. We expect the seasonal revenue declines to result in less operating margin leverage, compared to Q4. Therefore, we expect devices and services, non-IFRS operating margins in Q1 to be at the lower end of the full year target, which continues to be 12% to 14% full. The negative leverage effect will be even greater at Nokia Siemens Networks, and we expect NSN’s non-IFRS operating margins in Q1 to be below its full year target, which continues to be breakeven to 2%. And with that, I will hand back to Olli-Pekka.
Olli-Pekka Kallasvuo: Thank you, Timo. Q4 was the second quarter in a row where we saw a better demand environment in the mobile handset industry, and Nokia executed well. Our expanded portfolio of touch screen and QWERTY products which span across a range of price points continue to do well in Q4. Nokia has the best supply chain and distribution capabilities in the industry, and in Q4 we sold what we are capable of when we have a good portfolio. I want to see Nokia running again with a great portfolio, leveraging our advantages to their fullest extent. This is within our reach and I am encouraged by two things. First, the phase of change of Nokia is accelerating. And second, we are all focused on executing to achieve the clear operational milestones that we set at our Annual Capital Markets Day in December. Thank you very much.
Kristian Pullola: Thank you, Olli-Pekka. We will now continue with the Q&A session. Please limit yourself to one question only. Operator, please go ahead.
Operator: (Operator instructions) Your first question comes from the line of Time Boddy of Goldman Sachs.
Tim Boddy - Goldman Sachs: Yes. Thank you. It’s obviously very encouraging to see the improvements in the smart phone business. My question is really about the sustainability of those improvements, particularly, looking at some of the N-series products, which are still contributing I think very meaningfully. Can you just help us by giving us a bit more granularity on which products in particular was successful this quarter? And also, as we go through the first half coming up to your new product releases, how you think some of these products will trend. Thanks very much.
Olli-Pekka Kallasvuo: Yes. It’s Olli-Pekka here. Thanks for the question. Like I pointed out in - right at the very end of my remarks, I really feel we have a good portfolio at this moment of time. But I made the point that we want to, and we need to, and we will have a great portfolio going forward. And hence, product announcements in line with that bill, will continue to happen. And definitely, we have been referring to the Symbian next-generation (inaudible) that will be out in the second half of the year. Exactly in line with what we spoke about in that the -- not the capital markets stay. Make no mistake, we will, and we need to improve here. But having said that, it’s quite clear that we were able to ramp up very nicely in Q4, and in that way expand our portfolio to cover more price points, more technologies. We grew 38% in Touch -- 34% in Touch, 38% in E-series sequentially, and definitely that came to play here. So I think the portfolio here is quite balanced. That’s sought in the performance. But it’s very clear that we are currently lagging the high-end mind-share product, and we are definitely working on that one and we’ll come out with that one. When it comes to the sustainability here, and that was the point you made in the beginning, I think this is very much a sustainable situation, more than sustainable, because I really see a possibility and need to move from good to great. And I think that definitely is the thinking. And looking at the (inaudible) we are making, I don't have at the moment any reason to change anything that we communicated at the CMD in early December. Next question please.
Operator: Your next question comes from the line of Mike Walkley with Piper Jaffray.
Mike Walkley - Piper Jaffray: Thank you. Congratulations on a strong results and execution. Just to follow up with some new products launched in Q4 momentum for some of the year, you have converged mobile devices, how should we think about ASP trends in Q1? Should we consider a better mix or season of growth and more the emerging markets to adversely impact and ASPs? And also could you just comment on year increase global handset inventory level comment and overall seasonal trends you give for the market in the March quarter? Thanks.
Olli-Pekka Kallasvuo: Okay, Timo here. Thanks for that. I mean, first of all we’re clearly very happy that our ASP was up that one year sequentially from Q3 to Q4. Now, we confirmed our guidance for 2010 that we expect our volume share to be approximately at the same level and to increase our value share slightly. So we are expecting that our ASP erosion would be slightly lower than the market. So that’s really what I can say there. And regarding the inventory situation, we ended the year with a normal level of inventory, but clearly there will be some seasonality going into Q1. But there is no big inventory to clear in the system at the moment.
Kristian Pullola: Next question please.
Operator: Your next question comes from the line of Andrew Gardiner with Barclays Capital.
Andrew Gardiner - Barclays Capital: Thanks very much. I have another question regarding the ASP, in particular in the fourth quarter. You've highlighted in the press release and said again in the call here that in addition to the positive mix shift that you saw, there was also a benefit from FX hedging. I was just wondering whether you could quantify the impact of the two drivers there and whether that FX hedging is going to remain an issue or is that a positive driver for the first quarter as well. Thank you.
Timo Ihamuotila: Yes. There was a slight effect on the foreign exchange, but we don't expect that that would be a material impact during Q1 at the moment.
Kristian Pullola: Next question please.
Operator: Your next question comes from t line of Ittai Kidron with Oppenheimer.
Ittai Kidron - Oppenheimer: Thank you. What I want to drill into is China specifically, and what it seems like continued really weak performance there. Can you give us little bit more color on the competitive environment there? What are you seeing? And how would you plan to address that issue?
Olli-Pekka Kallasvuo: Yes. Thank you very much, Olli-Pekka here again. So if I look at China side. I think the competitive dynamics new China have to have continued pretty much in the same way. They are still low in competition there, yes, but that’s nothing new. So the competitive dynamics in China are more or less the same. They continue to be strong leader after distribution of the products.
Timo Ihamuotila: With China, I would like to point out, there’s quite a lot of volatility. Because I’ve kept -- I have a cap on this question now almost twice a year in these conference calls during the last three years. But I think it's because there’s quite a lot of quarterly volatility when it comes to market shares. And having that down sequentially in China, but in fact if you look at the comparison to Q4 of last year we've up because the channel dynamics come to play here. The way the Chinese channel gets filled, and then again the sale through have an impact on the market share. Because like you know we (inaudible) sell in out of the total sell out. And hence, you get this volatility. In China it’s better to look a bit long with the trend, which in our case has been very good. So be that in fact below our current markets there in Q4 in 2008. Of course, the China market is slowly starting to move in the way that also the TD-SCDMA market will become relevant with China Mobile, but that’s starting to happen. In fact, we did cut -- get our first real Symbian series 60 CDMS -- TD-SCDMA product out in the market place at the very end of the year. And we are really excited about the fact that we can now -- and will deliver also that technology. And there’s of course more to come because the Chinese consumers really want to buy Nokia. And there’s a lot of traction here in the market especially when it comes to TD-SCDMA. So I would not frankly read anything extraordinary when it comes to the market's development in China. The basic competitive dynamics continue to be the same.
Timo Ihamuotila: I will add one very quick thing here, a 30-second thing. So the Chinese New Year is clearly later. It’s later this year. It’s mid-February, and that affect those channel dynamics even more what Olli-Pekka has discussed here.
Ittai Kidron - Oppenheimer: Very good. Good luck.
Kristian Pullola: Thank you. Next question please.
Operator: Your next question comes from the line of Sherief Bakr with Citi.
Sherief Bakr - Citi: Thank you very much. My question relates to the sustainability of your gross margin, clearly an impressive sequential move. But I think, Timo, as you highlighted, there were maybe some one of this quarter to royalties. I just want to think how we should be thinking about the sustainability of your gross margin moving into 2010 from the level that you've achieved in Q4. And I guess somewhat related to that, when you look at your market share expectations for 2010, do you think that your smart phone share will be higher than your overall industry share? Thank you.
Olli-Pekka Kallasvuo: Okay. Thanks for that. I mean, we pointed out that lumpy 80 basis points of the gross margins what we have this 34.3%. We are expecting some seasonality at the gross margin level as well going into Q1. And if we then look at the market share -- market share dynamics regarding smart phone, so our aim is really to grow the smart phone market. I mean, we are really expanding that market. And those dynamics should work positively for us regarding volume on the smart phones.
Kristian Pullola: Next question please.
Operator: Your next question comes from the line of Mark Sue with RBC.
Mark Sue - RBC: Thank you. Will the goal of an improved portfolio require a big ramp in operating expenses? Do you feel it'd make it harder to maintain your operating margin targets of 12% to 14% as you develop high-end mindshare products? And certainly, Olli-Pekka, any interests in making a tablet based on Symbian or Mimo?
Timo Ihamuotila: I’ll take this, yes. Okay.
Olli-Pekka Kallasvuo: Timo volunteered, but I’ll take it anyhow, so. No, no. Of course, we are cutting out an overall investment here, in the investment level, in R&D that we feel is, of course, adequate then. And in order to come up with the different price points -- products, the different price points. Of course, the high-end investment is happening as we speak, both when it comes to Symbian and also when it comes to Linux or Mimo. So there is nothing new. And there is no need to ramp up anything new. The investment is happening. So in that way, I believe it’s definitely adequate. When it comes to the tablets and products like that, we did explore and are exploring as we speak with the Nokia booklet has capped and tremendous response in the market place. Of course, it’s more like exploring as opposed to do a product that will become the market leader. But I think that experience that we have gotten there, the traction we are getting, the understanding that we can deliver in different type of home factors to make us really look at the overall tablet markets and different types of converged devices between the mobile phone and the PC as these two industries start to merge anyhow. So you will see more in this space going forward without making any product announcements here.
Ittai Kidron - Oppenheimer: Okay. Thank you
Kristian Pullola: Next question please.
Operator: Your next question comes from the line of Andrew Griffin with Bank of America.
Andrew Griffin - Bank of America: Hi there. My question is just on the broader market inventory situation. (inaudible) you were talking about a fairly stable and manageable image situation in your channel. But we’ve seen one of your competitors and also CallComm last night talk a little bit about feature phone inventory reduction at some operators. I wonder if you could talk a bit more broadly about what you’re seeing in the market in the different regions.
Timo Ihamuotila: Yes. It's difficult to comment on other people's inventory of course. But as I said, we had a very low inventory starting this year. And we see that the situation has now normalized. And as I said, we are on the normal four to six weeks, and we are not really seeing in all -- in any regions any pocket of big inventory of Nokia products. So in that sense, the situation is healthy.
Kristian Pullola: Next question please.
Operator: Your next question comes from the line of Rod Hall with J.P. Morgan.
Rod Hall - J.P. Morgan: Yes. Hi. Thanks for taking my question. I just wanted to ask about Nokia team of networks quickly. Clearly, you’ve done well in the quarter, but you’re increasing the amount of restructuring that you’re reducing headcount. You’re also looking to substantially increase the cost savings. I wonder if you could just talk a little bit about the quality of the market. You’re talking about flat market development in 2010 after a pretty poor 2009, just give us some ideas whether you see a turning point on the horizon or whether you think that these poor conditions in the infrastructure market are just going to continue throughout the year.
Olli-Pekka Kallasvuo: Yes. Olli-Pekka here. I’ll take this one. So the market estimate we have given is flat market in euro terms, 2010 over 2009. And that’s what we reiterated again (inaudible) can reiterate again today. Then when it comes to NSN specifically, so like I said in my remarks, I think there's great momentum in the company now, and in that they've gotten some nice victories when it comes to LTE and 3T as well. And the mood in the organization is great. I have spent a lot of time with these people lately. And they really got nice momentum here. And that's always so important, what the people feel, how quickly can they run, how committed they are. And I think these people are basically -- they are able to read that the technology competitiveness of NSN has improved tremendously during 2009. And I definitely get the same feedback when I'm talking to NSN's customers. We've (inaudible) often the same customers as the Nokia customers. So in that way, that momentum is good. The restructuring we announced as well as the reorganization we announced in November, the point here is really to come to a level of OpEx during the economic -- once this restructuring has been concluded that is something that it really can deliver decent contribution to Nokia and Siemens and when it comes to the bottom line. That is the thinking here. The thinking definitely is that we should not stop here. We should not be happy in -- on the levels we are or can be right now bearing in mind also the -- what we said about Q1. We need to be able to do better. And hence, the breakeven point needs to be lower even more. And we have been really good in being able to move the big bulk of the R&D to local (inaudible) as well here so the breakeven point has been lowered. That work needs to continue. And the ambition level here needs to be pretty high. I think they've got the ingredients here, a lot of the ingredients. But we need to be able to continue to be more efficient and continue to invest in R&D in the right way. That I see happening. This will not -- all that I'm talking about will not happen overnight, but I think the momentum is good.
Timo Ihamuotila: Yes, maybe if I comment from the -- very briefly on the numbers. So as Olli-Pekka was saying, the operating leverage has increased significantly during the year. I mean we had EUR 4.3 billion net sales a quarter -- a year ago, now a little EUR 3.6 billion. And operating margin level actually improved slightly, both by having been over 5%. And this is really the trend we want to continue here.
Rod Hall - J.P. Morgan: Okay. And when you guys look at the -- I mean you look at the broader market and clearly indicating that organic revenue decline doubled in Q4. Olli-Pekka or Timo, could you guys comment on how you see -- saw the infrastructure market developing in Q4 from your perspective. Was it a worsening environment? Was it fairly stable on Q3? Could you just talk a little bit about that?
Olli-Pekka Kallasvuo: If you look at the NSN performance and look at the -- now look at the growth rates or negative growth rates here in this case in comparison to the -- to 2008. So definitely, NSN's -- the -- NSN has improved on their performance during the year here. The negative growth rate was much less in Q4 than it was in Q3. And in fact, and this might be too early to say because all the data is not there, but I believe we took markets in NSN in Q4. That's my (inaudible) at the moment.
Timo Ihamuotila: There's one more NSN related item I would like to correct. I said that NSN contributed to Nokia's net cash worth EUR 480 million. This is actually negative EUR 480 million. So NSN has net debt. And it's a -- it's part of that net debt, which comes to Nokia that is negative EUR 480 million.
Kristian Pullola: Next question please.
Operator: Your next question comes from the line of Gareth Jenkins with UBS.
Gareth Jenkins - UBS: Thanks, two very quick ones. I just wondered if you could give us a sense of the percentages or portfolio in Q4 that was nearly launched and what you expect that to be in Q1. And then just secondly on this definitional shift of active users because it looks like you've effectively turned off 20 million active users. By that can we mean that there are basically users that aren't using the device after, say, three months? And can you give us a sense of the regularity of usage please?
Timo Ihamuotila: Yes. On the new products revenue as part of the portfolio, we are not expecting a significant difference from Q4 to Q1, about the same level or maybe a bit down. So that's what I would say there. Do you want to talk about the active users or should I?
Olli-Pekka Kallasvuo: You can take it, and I can complement.
Timo Ihamuotila: So on the active user console, so clearly -- I mean this is a new measure for us and we are improving this KPI for the company. And of course when we went in, there was a quite a bigger pool of consumers who were sort of active, but not that active. And we have now really tightened the definition of the active users. So as our understanding of this consumer behavior, it's getting better that we measure really consumers who are active on our services.
Olli-Pekka Kallasvuo: I might point after that, and of course, this overall active users, it's one measure. It's a high level measure that we have used for communication also internally in order to drive change at Nokia. Of course they are as -- there are much more different types of metrics that we are able to increasingly follow. A good example of this is the -- when we launched the (inaudible) navigation last week. We have been able to follow that completely, how it happens in different parts of the world, what are the users doing, who are the (inaudible), and so forth and so forth. So this high level active users metrics is -- it maybe good for folks for some kind of communication purposes, especially internal and also external because it tells the direction. But of course, the underlying metrics and the ability to manage the services business in a closed loop fastened, that's much more complex. And we have made great progress in that.
Kristian Pullola: All right. Could we please have one question more.
Operator: Your final question comes from the line of Kulbinder Garcha with Credit Suisse.
Kulbinder Garcha - Credit Suisse: My question is on smart phone pricing. Basically, I think when you have -- last time, you had such a surge of products around Q2. You did quite well in the smart phone share, but is your difficulty pricing are what you expected? What were you thinking about the pricing environment on smart phones as you go for the first half of this year? With this portfolio, do you have more confidence since the middle of last year? And also taking into account -- what in fact you think happens on exclusivity in having the European market and your availability to trade up the same ASP and gross margin (inaudible) smart phones? Thanks very much.
Olli-Pekka Kallasvuo: Yes, I mean the smart phone development clearly depends also on the range. I mean I must say that we are very happy with the ASP we had on the smart phone sequentially now from EUR 190 millions, down to EUR 186 million, and significant improvement in net sales going forward. This will really, really depend on the dynamics of the overall market. And our aim is really to grow the market here, and in that sense, bring the smart phones to new price points. So it's fair to expect some erosion on the ASP to continue going into first quarter.
Timo Ihamuotila: Yes. And I'll take the Apple question one more time. So it's really the -- if you look at the situation in Europe here, it's very difficult to compare this very directly because here we've got two companies who have very different strategies. We of course understand the need and I spoke about that at the high end mind -- set of products as well. But I our strategy at the moment when we are democratizing [ph] the smart phone. It needs to go at different price points, different markets, different operators in a massive way. So there's nothing new here. This has been the situation in Q4 as well. Apple continues to be a great competitor, no doubt about that. But we've got our assets as well.
Kristian Pullola: Thank you, Olli-Pekka. Thank you, Timo. Ladies and gentlemen, this concludes our conference call. I would like to remind you that during the conference call today, we have made a number of forward-looking statements that involves risks and uncertainties. Actual results may therefore differ materially from the results currently expected. Factors that could cause such differences can be both external just as -- such as general economic conditions as well as industry conditions, as well as internal operating factors. We had identified these in more detail on pages 11 to 28 in our 2008 20-F and in our press release issued today. Thank you very much.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.